Operator: Greetings and welcome to the Kandi Technologies First Quarter 2021 Financial Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Kewa Luo. Thank you, Kewa. You may begin.
Kewa Luo: Thank you, operator. Hello, everyone. Thank you all for joining us on today's conference call to discuss Kandi's results for the first quarter of year 2021. We issued a press release covering the results earlier today. That press release is available on the conference website, as well as from Newswire services. On the call with me today are Mr. Hu Xiaoming, Chief Executive Officer and Chairman; and also Mr. Alan Lim, Chief Financial Officer. Mr. Hu will deliver prepared remarks in Chinese, which I will then translate. After that, we will have a Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please note that unless otherwise stated, all figures mentioned during the conference call are in U.S. dollars. With that, let me now turn the call over to our CEO and Chairman, Hu Xiaoming. Go ahead Mr. Hu.
Xiaoming Hu: [Foreign Language] Hello everyone and thank you very much for joining us on the call today. The total revenue for the first quarter is nearly $16 million and this has far exceeded the level of the same period last year. And since last year we have seen a most promising growth opportunity from the short distance small EVs in China, which led by a brand called Wuling. Ever since that they have launched the short distance EV, that has take the trend in this market. And also high-end electricity utility terrain vehicles in the US which is really are favored by a lot of young generation. We have now focused on mass markets by developing vehicles for these segments, with a cost of RMB 30,000 or less which is approximately US$ 4,700. For China, we are developing a neighborhood EV. For the US we are working on fully enclosed high-end air conditioned pure electric four-wheel drive UTVs. We expect to launch both vehicles this year. And based on the financial statement you will see a bottom-line loss which is due to our investments in R&D for the new product. But if we're looking at the gross margin we have achieved over $4 million, which is beyond -- which has exceeded our expectations. [Foreign Language] In February, we entered into an equity transfer agreement with Geely to sell Kandi's equity interest in Fengsheng. By exiting the Fengsheng partnership we are no longer constrained by the non-competing restriction. With the freedom to pursue EV opportunities more aggressively and with additional cash, we can accelerate our growth. In addition to developing new products directly, we can enhance our competitiveness by acquisition. We are actively looking for targets suited to Kandi's development road map and have been communicating with potential collaborators.  [Foreign Language] In the first quarter we completed the relocation of facilities. In early April, the old factory site passing spectrum by officials of the Jinhua development zone, we expect to soon receive the remaining amount of ¥160 million or around US$25 million. At the same time we are also moving our US subsidiaries headquarters to a newly purchased building in Dallas. [Foreign Language] Looking ahead, we are going into the rest of 2021 with an incredibly strong balance sheet that can fund all the initiatives we can imagine. Our teams in both China and the US enjoy the productivity of new efficient and attractive facilities. We are free of the constraints from the Fengsheng partnership and can fully exercise our creative minds. With our strong advantages combined with the industry tailwinds of support from both the Chinese and US government for EVs the future of electric mobility and for Kandi is the best we can imagine. We were looking forward to reporting exciting progress in the quarters ahead.
Xiaoming Hu: [Foreign Language]
Kewa Luo: Let's now start the Q&A session. And I will take the -- we will take the English questions and translate for Mr. Hu. And because our CFO Alan is really sick today and he already lost his voice, therefore I will translate the answer in English on behalf of him. Operator, please go ahead.
Operator: Thank you. We will now be conducing a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from Arthur Porcari with Corporate Strategies Incorporated. Please proceed with your questions.
Arthur Porcari: Congratulations it was a really nice Q1. Let me first note had the company not taking that $22 million R&D charge in this quarter or some $0.30 a share, which was 20 times more than you spent last year, it would have been a very profitable quarter. But let me go on to the subject of my questions, but a little background first. My question has to do with Kandi's ridiculously undervalued share price? Despite the massive EV stock correction underway from crazy enthusiasm, any company just touting EV affiliation at current levels, there's only one public company in the EV sector whose stock is trading below it's year-end 2020 book value, which by the way has gone up and that's Kandi with around $5.50 per share at year-end. And that book value came over $2 a share of cash and short-term investment and no debt. The next load is still trading over two times book and the average is around seven times book. And if you add in Kandi's pro forma profits already issued this year of another $0.65 a share from the profits Jinhua and Fengsheng cash. I'm getting a strange tone over here, so I don't know whether this is going through or not. But anyway I wanted to say, the cash -- sales being booked this and last quarter Kandi's book value with almost 40% cash should by year-end be up to around $6.25 a share. Now in this current environment, I've not heard any EV company or top management buying shares of their own company. Historically, Mr. Hu just three years ago bought some 430,000 shares with an open market value of over $2 million with one block as high as $5.52 a share and less than two years ago Kandi bought about 0.5 million shares for its account also at prices above the current. On the other side, Kandi's sold shares worth $160 million late last year at around $9 a share. If Kandi wants to make a statement as to just how ridiculously undervalued this stock is, a share buyback or significant insider buys could catch a lot of attention. So my question is while sitting on hundreds of millions of dollars of cash and no debt with Kandi or Mr. Hu consider buying some shares here around or below book value? 
Kewa Luo: Okay. Thank you for your question. [Foreign Language]
Xiaoming Hu: [Foreign language] 
Kewa Luo: Thank you very much for your question and background you have shared. My answer is very simple. We know the company's market value is seriously undervalued and we believe that company's valuation will soon be more rational and be back to the reasonable level. And next quarter the statement will look even more promising. But we don't have any current plan. If we do have any action plan, we will announce to the market. 
Arthur Porcari: Okay. Well, thank you very much. That's kind of what I expected, but pray so we've a good strong next quarter and rest of the year. Thank you.
Kewa Luo: Thank you very much.
Operator: Thank you. Our next question comes from Michael Fearnow with Focus Tech Investments. Please proceed with your question.
Michael Fearnow: Yes. Good evening. My question has -- relates to two parts. One is clarification on your hoverboard activity and the other will relate to reproduction by the company of the annual conference call and quarterly conference calls. Anyway, the first part of my question, there seem to be some confusion on how many of hoverboard powertrain units were sold last year due to some confusion when Seeking Alpha reproduced the 2020 conference call transcript?  The transcript said 150,000 hoverboard motor units were sold, but the CFO at that point in the transcript clearly says 460,000 units were sold. Also the Seeking Alpha said Kandi was raising the price by 50% and it seems the CFO said 15%. So we've got a confusion on the number of hoverboards sold? And any price adjustment which relates back to this -- the lack of official reproduction of the call? And I think this reproduction of the official transcript by the company is important, particularly in view of the increased institutional ownership of the company's common stock. So can Mr. Hu please address that issue? 
Kewa Luo: Thank you for your question. [Foreign Language].
Xiaoming Hu: Thanks for your question. We really encourage all the investors analysts can participate in our company's live call to discuss and ask questions directly to increase the introduction, not just relying on the transcript released after call to learn what's going on. More importantly, some transcripts may not even be accurate because the live translation can have some misunderstandings. So, in order to avoid any misunderstanding, we think it's better not to keep the transcript of the conference call by issuing the official transcripts with the SEC. In addition, from what I have found most of the listed companies in the United States do not provide their official transcript towards the SEC. Therefore, our current practice is in line with the norm. 
Michael Fearnow: Kewa did Mr. Hu address the question about what was actually said on hoverboard sales in the conference call? Can he clarify those numbers?
Kewa Luo: [Foreign Language]
Xiaoming Hu: Okay. He confirms the 460,000 is correct. And the increase -- the price increases by 15% 1-5 15%. 
Michael Fearnow: Okay. Thank you. That helps. So my understanding is the company does not plan on reproducing an official transcript of these calls and then a follow-up question on the hoverboards. Also in the year-end call, they projected a target sales of 3 million hoverboard units for this current fiscal year. Does Mr. Hu still believe that is a reasonable estimate? Thank you.
Kewa Luo: [Foreign Language]
Xiaoming Hu: Based on the orders we have received so far and in the second quarter, we think it's -- the number 3 million motor for the hoverboard is achievable.
Michael Fearnow: Well thank you and look forward to successful future.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from Mike Pfeffer with Oppenheimer. Please proceed with your question.
Mike Pfeffer: Hi. Thanks for taking my questions. A footnote appeared in the 2020 10-K addressing an R&D expenditure initiated in December for some $19 million for the development of a new Kandi EV. Let me read it. This amount presents the advanced payment to a third-party for designing a new easy model as well as related research and development and consulting works. The company entered into research and development contract with a third-party on December 1, 2020 with a total contract amount of $38.3 million and an advanced payment of $23 million as per the contract. $3.4 million of the expense was incurred during the year ended December 31, 2020. To my knowledge, there's been no previous information divulged by the company on this matter unless this is also the mysterious Kandi sports car mentioned on the last conference call and also in the 10-K. My first question, is this the previously mentioned sports car mentioned in passing the year-end 2020 press release or different EV? In either case, can you give us more details such as size of vehicle, market US, EU, China, speed range, number of seats, price range, estimate of completion and release for sale dates? 
Kewa Luo: [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: Thanks for your question. These -- the sports car project is still underway. And because of the requirements for the sports car are relatively high, especially for the airbags, so it's going to take rather longer time to be ready for the market launch. But at the present, what we have been working on is the short-distance small electric vehicle and the high-end electric utility terrain vehicles. Like I mentioned earlier on the call, due to Wuling company launched the short-distance EVs in China, the market has been really hot. And we are right now focusing on developing these two vehicles; the short-distance small EV and the high-end electric UTV for the China and US market. And we are trying to working on the R&D of these cars with a total cost of less than RMB30,000. The plan is that we are working out on them to launch both vehicles in the market by the end of this year. Hello. You still there? 
Mike Pfeffer: Sorry, yes, I was on mute. Sorry about that. That was -- and who is the third-party? And are they only involved in the design R&D? And was Kandi building the final release vehicles? And if so what facility? 
Kewa Luo: [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: The third-party is a domestic automotive R&D technology company in China. They are mainly responsible for designing and research development as well as providing a complete set of molds fixtures and inspection tools, but the production of vehicle will be independently built by Kandi.
Mike Pfeffer: Okay. And the last question. Thank you. In China, historically of the 90,000-or-so EVs Kandi have made and sold over the past 10 years, both in and out of the JV. The vast majority have been sold into commercial service, ZZY, leasing, et cetera, very few to consumers direct. How and to what market will Kandi be selling this new EV?
Kewa Luo: Okay. [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: So the short-distance small EVs are targeting the office workers and rural consumers in China -- domestic China market. And the fully enclosed high-end air conditions electric 4-wheel drive UTVs are aimed to the US market.
Mike Pfeffer: Okay. Thank you, and just one clarification. Can Mr. Hu tell us what facility that you'll be building the final production of these vehicles? I don't think he clarified that. 
Kewa Luo: Okay. [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: Okay. Both will be produced in Hainan. And in the future all the electric vehicles will all be produced at Hainan factory.
Mike Pfeffer: Great. Thank you so much for your time and best of luck.
Kewa Luo: Thank you.
Operator: Thank you. Our next question comes from Carl Shore with Wring Wring Consulting [ph]. Please proceed with your question.
Unidentified Analyst: Good day and congratulations for your quarter. It appears that - I'm impressed with the improvement in gross margin from just about 18% to 27%, that's a 50% improvement. That's major. And so, my question. It seemed on the last conference call that the wrong impression was left that Kandi was projecting for a total of only 3,000 EVs from all sources for this year. Based this assumption is being wrong on the CFO stating on the conference call that he -- I assume that for all EVs China so far we have at least 3,000 orders of EVs that are featuring the smart battery swap. So, impressive this -- being at least, so this number was based only on the initial orders from the first two cities where the Kandi initiated five-year 300,000 EV government accredited EV ride-hailing Program. So while 3,000 EVs might seem a small number, it does appear to me that it's just a start from this one program alone. However, for this program to work that's not just EVs, but there are key collateral products required and all being provided by Kandi-owned subsidiary. So, you have the whole value chain including building the battery exchange units and additional batteries required for the exchange rate. So in my computing, the total revenue from just the first 3,000 EVs alone would come in around $70 million almost matching all of Kandi's 2020 revenues or from one new revenue source that didn't exist even a year ago. So the question comes in four parts. A, with the – of the three program partners, Kandi, Jinpeng and Ruibo, which is responsible for re-soliciting new cities and local operators. Also approximately how many cities in China meet the specific programs targeted demographic of third and fourth tier cities?
Kewa Luo: Hi. Can I just translate the first question?
Unidentified Analyst: Yes, please do.
Kewa Luo: Yes. The first question, yes. Thank you. [Foreign Language].
Xiaoming Hu: [Foreign Language]
Kewa Luo: So this project actually is being operated by the operators and the name for the company is Zhejiang Ruiheng Technology and they are approximately 2,000 third and fourth tier cities in China that meeting the requirements of these programs.
Unidentified Analyst: Amazing. So how many cities are in active discussions to add to this program in these cities...
Kewa Luo: [Foreign Language].
Xiaoming Hu: [Foreign Language]
Kewa Luo: So far Ruiheng Technology has been negotiating with more than a dozen third tier cities about their intention to cooperate and to launch the online ride-sharing EVs featuring the battery swap mode. It is expected to start launching in these cities within the year.
Unidentified Analyst: Okay. And how does that interface with Kandi's recently signed strategic cooperation agreement with China National Electric Utility State Grid, which is basically a monopoly all over China, so serving every city? Is that a separate approach, or is this interfacing?
Kewa Luo: [Foreign Language].
Xiaoming Hu: [Foreign Language]
Kewa Luo: Zhejiang State Grid Electric Vehicle Service Company they are also a partner of these projects. So they are also involving in the online ride-sharing program, so there won't be any conflict.
Unidentified Analyst: I see. So given that the initial order should be around 3,000 EVs, what do you expect for all EV sales for this year 2021, from all sources? Would that be more in the vicinity of 8,000 or 10,000 or more EVs? What is...
Kewa Luo: [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: The number of vehicles we plan to be launch for the online car share market is 3,000, because you have to understand even though we signed two contracts with two cities 2,500 and 1,000, but these vehicles will be delivered on a rolling basis. It's going to take time. The number of vehicles that will be directly selling to the consumers is going to be depending on the market situation. So it's hard to determine exact number. I would give a sales number of 3,000 for this year as of now.
Unidentified Analyst: Okay. So that's a conservative count. Thank you. And best of luck for the remainder of the year. Thank you.
Kewa Luo: Thank you very much.
Operator: Thank you. Our next question comes from Frank Ledermann with -- who is a Private investor. Please proceed with your question.
Unidentified Analyst: Yes. Good morning Miss Luo. And good evening Mr. Hu. The Economic Development Zone of Jinhua has reported that Kandi's factory is one of its key development projects and has been designed for and has been equipped for an annual output of 5,000 sets of battery replacement equipment along with other products. My question is, why have, such a large manufacturing capacity for quick battery exchange stations, since the prior reported number of stations and services only a small fraction of this number? Do you expect to actually need all this capacity? And if so by when might this capacity be fully utilized?
Kewa Luo: Thank you for your question. [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: This vehicle battery separation swapping for electric vehicles have been affirmed and supported by the government and relevant state department since last year. So this is definitely just the beginning of the battery swapping operations, but it's going to take time for the market penetration. And the market demand in the future I think will definitely be tremendous. So the 5,000 sets of production capacity will be fully utilized by then.
Unidentified Analyst: Can Mr. Hu give some, sort of, a time frame as to when a significant portion of that might be in use?
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Foreign Language]
Kewa Luo: Starting the second half of this year you -- we should see the pick in production. But, however, reaching 5,000 sets of production annually is going to take years.
Unidentified Analyst: Okay. Thank you.
Kewa Luo: Thank you.
Operator: Thank you. Your next question comes from Yasser Yak [ph], a private investor. Please proceed with your question.
Unidentified Analyst: Hi. Thank you. So do you have any updates regarding the listing for the battery powertrain subsidiary? Whether it's in U.S. or in China? Can you give us some idea, some color time line? Thank you.
Kewa Luo: [Foreign Language]
Hu Xiaoming: [Foreign Language]
Kewa Luo: The management team is evaluating the possibilities of taking the company to be listed in China and in the U.S. I understand that some investors suggest to do the rights offering in the U.S. and we are still evaluating the pros and cons. But as per the current situation, I think battery swap technology has a better prospect for listing in China. I believe that Kandi should have a listed company in domestic China since we were headquartered in China. But, however, we are still evaluating all the plans.
Unidentified Analyst: Okay. My second question is I think to do with operator similar to Zhejiang Ruiheng. So we know that we have a lot of clear positive factors in China that you can go through. Question means since we rely on one entity Zhejiang Ruiheng for now, does it mean you have a significant risk? Do you have any plan, or is Kandi currently pursuing another entity with similar capacity as Zhejiang Ruiheng to help to sell Kandi car and system in the future?
Kewa Luo: Thank you. [Foreign Language]
Hu Xiaoming: [Foreign Language]
Kewa Luo: I want to clarify that it's not a Ruiheng itself operating in all the cities. Ruiheng is the leading partner in this project and he will negotiate with each local city and -- to find the partners in a local city to perform actual project. So, it does -- it's not really having a risk with just one operator.
Unidentified Analyst: Okay. I understand. And just having a similar companies -- similar capacity at Zhejiang Ruiheng will help that's my question, instead of only relying on Ruiheng to find operators in local cities?
Kewa Luo: Okay. [Foreign Language]
Xiaoming Hu: [Foreign Language]
Kewa Luo: [Foreign Language] Since Ruiheng is just the beginning of this initiative and we have just signed 3,000. so maybe in the future, they will be engaging with more operators. But as of now, they are -- we just have Ruiheng, one operator to work on this. But maybe in the future, we will consider having more company like Ruiheng to engage in this project.
Unidentified Analyst: Okay. Thank you, very much.
Kewa Luo: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to management for any closing comments.
Xiaoming Hu: [Foreign Language]
Kewa Luo: [Foreign Language] Thank you again, for attending today's call. On behalf of the Board of Directors and the management team of Kandi Technologies Group, I would like to reaffirm our commitment, but we'll continue to work hard to pursue the EV market more aggressively in China, as well as expediting applications of our expertise in battery swap systems to maximize shareholders' value. With supported policies from the government and sufficient cash and working capital, we believe the years ahead hold a multitude of opportunities that can deliver strong operating and financial results in the coming quarters. This concludes our call today. Thanks, again for attending. You may now all disconnect.